Operator: Good day, and welcome to the STERIS plc Third Quarter 2025 Conference Call. All participants will be in a listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star then one on your touch-tone phone. Please note this event is being recorded. I would now like to turn the conference over to Ms. Julie Winter. Please go ahead.
Julie Winter: Thank you, Chuck, and good morning, everyone. As usual, speaking on today's call will be Mike Tokich, our Senior Vice President and CFO, and Dan Carestio, our President and CEO. I do have a few words of caution before we open for ten minutes. This webcast contains time-sensitive information and is accurate only as of today. Any redistribution, retransmission, or rebroadcast of this call without the express consent of STERIS is strictly prohibited. Some of the statements made during this review are or may be considered forward-looking statements. Many important factors could cause actual results to differ materially from those in the forward-looking statements, including, without limitation, those risk factors described in STERIS' securities filings. The company does not undertake to update or revise any forward-looking statements as a result of new information or future events or developments. STERIS' SEC filings are available through the company and on our website. In addition, on today's call, non-GAAP financial measures, including adjusted earnings per diluted share, adjusted operating income, constant currency organic revenue growth, and free cash flow, will be used. Additional information regarding these measures, including definitions, is available in our release as well as reconciliations between GAAP and non-GAAP financial measures, providing greater transparency to supplemental financial information used by management and the Board of Directors in their financial analysis and operational decision-making. With those cautions, I will hand the call over to Mike.
Mike Tokich: Thank you, Julie, and good morning, everyone. Once again, my pleasure to be with you this morning to review the highlights of our third-quarter performance from continuing operations. The third quarter, total revenue reported as reported grew 6% with constant currency organic revenue also growing 6% for the quarter, driven by volume as well as 240 basis points of price. Gross margin for the quarter increased 90 basis points compared with the prior year to 44.6%. Positive price and productivity offset labor inflation. EBIT margin decreased 10 basis points to 23.3% of revenue compared with last year's third quarter. Litigation expense associated with our ethylene oxide trial, which began in December, as well as increased healthcare benefit costs from higher utilization by employees of our healthcare benefits program accounted for over $10 million of additional expense year over year in the third quarter. The adjusted effective tax rate in the quarter was 24.5%. The year-over-year increase is attributable to unfavorable discrete items. Net income from continuing operations in the quarter was $229 million. Adjusted earnings per diluted share from continuing operations was $2.32, an 11% increase over last year. We are pleased with our ability to manage costs with the help of lower interest expense following the divestiture of the dental segment. Capital expenditures for the first nine months of fiscal 2025 totaled $299 million, and depreciation and amortization totaled $354 million. Capital expenditures were higher year over year mainly due to timing. We continue to pay down debt during the quarter, ending with $2.2 billion in total debt. Total debt to EBITDA at quarter-end was approximately 1.5 times gross leverage. Free cash flow for the first nine months of fiscal 2025 was $588 million, well on track to achieve our full-year guidance of approximately $700 million. With that, I'll turn the call over to Dan for his remarks.
Dan Carestio: Thank you for joining us to hear more about our third-quarter performance and our outlook for the fiscal year. As you heard from Mike, we had another strong quarter. Looking at our segments, healthcare constant currency organic revenue grew 7%, led once again by strong recurring revenue streams. Our outperformance in consumables and services continues to be driven by procedure volumes in the U.S., as well as price and market share gains. Healthcare capital equipment revenue declined 5% in the quarter due primarily to the timing of shipments. Orders grew over 10% in the third quarter, which is reflected in the $435 million healthcare backlog. While order growth remains robust, shipments were delayed by customer project delays. Margins improved nicely in healthcare with volume, pricing, and positive productivity offsetting labor inflation. Turning to AST, constant currency organic revenue grew 10% with 10% growth in services and a small decline in capital equipment shipments. Supporting growth in services, global med tech customers were stable, and we saw growth in bioprocessing demand above our expectations. EBIT margins for AST were flat year over year and increased nicely sequentially. While the additional volume was helpful, we continue to be impacted by higher labor and energy costs. Constant currency organic revenue declined 1% for the Life Sciences Group in the quarter, driven once again by strong growth in consumables and services, offset by a decline in capital equipment revenue. As expected, the divestiture of the CECS business on April 1st impacted our as-reported revenue. Margins increased to 42.6%, a 390 basis point improvement, benefiting from favorable mix pricing and the divestiture of CECS. Turning to our outlook for 2025, with three quarters under our belt, we are tightening our ranges for revenue and earnings. As mentioned in the press release, the biggest change since last quarter is the unfavorable impact of currency rate changes impacting both revenue and profit. In addition, we were shy of our revenue expectations in the third quarter for Healthcare Capital Equipment. As a result, our outlook for as-reported revenue from continuing operations is now approximately 6%. Constant currency organic revenue growth is also expected to be approximately 6%. Reflecting approximately $0.10 of impact from negative currency, adjusted earnings per diluted share are now expected to be in the range of $9.05 to $9.15. Our expectations for free cash flow are unchanged at about $700 million, with approximately $360 million in capital spending.
Dan Carestio: Before I conclude, I would like to comment on the first ethylene oxide case to be tried against Isometix, which ended in a mistrial last month. As you heard from Mike, we have incurred significant expenses defending Isometix. We believe that when the evidence of Isometix's safety practices and the scientific data related to ethylene oxide exposure is fairly presented at a trial, reasonable people will conclude that there is no connection between the unfortunate medical conditions of the claimants and Isometix operations. We believe the evidence presented during the four weeks of trial demonstrated that during the 44 months of Isometix ownership, its conduct complied with applicable law and was reasonable, transparent, and protective of our people, our neighbors, and the environment. After the court granted the plaintiff's request for mistrial, we learned that the majority of the remaining jurors supported a verdict in Isometix's favor at the time that deliberations were terminated. The court has scheduled this first case for retrial in May of this year, and we will continue to vigorously defend Isometix in these cases. We have continued to invest in these facilities. We have created processes and procedures that meet or exceed the applicable environmental and regulatory standards. That concludes our prepared remarks for the call. Julie, would you please give the instructions so we can begin the Q&A?
Julie Winter: Thank you, Mike and Dan, for your comments. Chuck, can you please give the instructions?
Operator: Yes, ma'am. We will now begin the question and answer session. To ask a question, you may press star then one on your touch-tone phone. And if you would like to withdraw your question, you may press star then two. Our first question of today will come from Jacob Johnson with Stephens. Please go ahead.
Jacob Johnson: Hey. Good morning. Thanks for taking the questions. I guess I'll start with the inevitable healthcare capital equipment question. Dan, you mentioned timing of orders in 3Q, and you talked about the updated guidance. You also talked about strong order growth. Do you think this is what you're seeing in Healthcare Capital Equipment is just related to timing of orders? Is it kind of specific to 3Q? Or are you seeing any hesitancy from customers?
Dan Carestio: No. The spending is still great because we're seeing the new orders come in. What we're seeing is just delays. The customers are just not ready from what they prescribed to us as the original date when they make the order. And then, you know, we're contacting customers a month or weeks in advance, and they're saying, guys, we're not gonna be ready. Take it at the end of the month. You know, I can't say definitively at this point that that's a trend because there's a couple of big orders that have moved the needle in the last quarter or two. But generally speaking, it's something that we're seeing that's occurring with our customers in terms of pushing out some of the timing of us shipping.
Jacob Johnson: Okay. That's helpful. And then maybe on the good side of things, you mentioned bioprocessing outpacing expectations at AST. I think we've seen that in some of the bioprocessing reports this quarter. Just curious if you could unpack the trends you're seeing in that bioprocessing end market and what that could mean as we look out over for AST.
Dan Carestio: I think in a general statement, you know, last year, Q2, Q3 was kind of the trough that we saw in terms of demand through our facilities, which doesn't always necessarily correlate directly with the customers because it depends on where inventory is in the supply chain and how much inventory sits at the end customer, right, their customer. What you've seen as they've reported their earnings and the comments we've heard is that there seems to be some optimism and some positive trend of intake. Obviously, I'm optimistic just to think that we've sort of worked through the inventory challenges, and we've been consistent in our messaging saying this has been a relatively small but high-growth business for us for some time. We believe it was taking a reset, and I believe that we're through that reset period and hope to have more normalized growth going forward.
Jacob Johnson: I'll jump back in queue. Thanks for taking the questions.
Dan Carestio: Sure thing.
Operator: The next question will come from Brett Fishbin with KeyBanc. Please go ahead.
Brett Fishbin: Hey. Thanks very much for taking the questions. Just one on the guidance. I noticed in the press release that there was an indication that you're assuming no tariffs for the remainder of the fiscal year, which I think makes sense at this point based on what we know. Just thinking ahead to FY26, could you help frame how you're viewing the potential risk in the scenario that tariffs are, in fact, reintroduced in regions such as Canada and Mexico? Thank you.
Mike Tokich: Yes, Brett. Like others, we've done thorough analysis, looked at it many different ways, and the situation is so fluid at this point in time. We're not going to comment directionally as to what the impact could be. We're going to take more of a wait-and-see approach, but believe us, we are working hard behind the scenes to understand what the impact is and what our options are in order to help alleviate some of that impact.
Brett Fishbin: And if you remember, we do have a facility in Quebec, Canada, and one facility in Monterrey, Mexico. In total, they're about just under 10% of our cost of goods sold, just to give you some frame of reference.
Brett Fishbin: Alright. That's a helpful metric to keep in mind. Thank you. And then just a follow-up question on cost. I think you mentioned a step-up in legal expense as one of the drivers of the elevated or increased OPEX this quarter. So just wondering if you could touch on how we should be thinking about legal expense on a go-forward basis and maybe also just the decision or accounting reason to not adjust if they're abnormal types of expenses. Thank you.
Mike Tokich: Yeah. They are all recorded in our corporate expenses. They are not in the segment themselves. So this quarter, we incurred just under $6 million in year-over-year increase in expenses, and year-to-date, we are about just over $10 million. We anticipate probably another couple of million dollars, five-ish million, in the fourth quarter from an expense standpoint as a headwind that we've included in our forecast.
Operator: The next question will come from Michael Polark with Wolfe Research. Please go ahead.
Michael Polark: Good morning. Question on AST, seeing the services accelerate to 10%. Heard the bioprocess comments. Also heard MedTech customers stable. What does stable mean? Just, like, revenue flat. Can you give us an update on where you think inventory management headwinds are with that cohort?
Dan Carestio: This is Dan. Sorry. That was probably vague. Not flat, but back to what we would expect as more normalized growth ranges, the low single digits in terms of volume.
Michael Polark: So just on AST, kind of putting it all together, obviously, 10 plus is the target growth rate here. We're seeing it in the quarter. You know, when we saw the seven a few quarters ago, okay, maybe that was a sign of the turn. We kind of faded a little bit. Can you just comment on your level of confidence that, you know, this feels like a solid kind of step up, or is it still that, you know, working to better understand what situations really are, and we could have a chop around here on growth and AST for the next quarters still?
Dan Carestio: Yeah. I don't think it's that far out. I think what I would say is we're cautiously optimistic in the trend that we've seen over the last couple of quarters. And I would caution you that, you know, we have seen sort of a manufacturing pull effect from customers from time to time. So I'm not ready to declare victory and move on quite yet as it relates to one quarter of 10% growth, but we're enthusiastic to see the trend back in the direction where we'd like it to be.
Michael Polark: If I could ask one follow-up on Healthcare Capital. I heard the comments, timing of large shipment delay, timing of large projects. Get it. Is there any part of this that's, you know, STERIS is just kind of managing after, you know, a three-year period of ebbs and flows with the supply chain stuff, kind of managing the revenue level in that line down to a place where you can expect to grow it again in fiscal 26? Is there any element of that and update today?
Dan Carestio: I think it's too early to say. We're in our planning process now for next fiscal year, and I know we're off-cycle from a lot of companies. But we're just working hard to get through the fourth quarter, deliver for the customers, and we'll update you obviously at the next earnings call.
Michael Polark: Thank you.
Operator: The next question will come from Jason Bednar with Piper Sandler. Please go ahead.
Jason Bednar: Hey, good morning. Thanks for taking the questions. You know, maybe first one just to start, your margin performance was really strong in each of healthcare and life sciences. I think a record for healthcare, at least the highest we've seen in our model. So congrats on all of that. I did want to ask, can you talk about maybe the sustainability of these margins, especially in healthcare, as we think through some of the moving parts of possible mix shifts, restructuring, savings, different dynamics that could impact here over the next several quarters?
Mike Tokich: Yes. Jason, this is Mike. Yes. I mean, if you look at healthcare and life sciences both, they're both being impacted by favorable volume, mix, and price. And healthcare, actually, for the first time all year, we actually started seeing productivity improvements, which is great. We've been looking forward to seeing that. I would say for the rest of this year, we probably are on track. We're not going to comment as to FY26 at this point in time. We are definitely happy that we're seeing the leverage in healthcare. And don't forget, on that life sciences side, next year is going to be a lot harder because of that mix, favorable mix. Capital equipment should come back. It's down 30-some percent year over year. So we're definitely getting a big benefit out of the higher consumables and service mix. But all in all, we're very pleased with the margin improvement across the board for our segments.
Jason Bednar: Alright. Congrats, man. If I could shift over to the EO update. Probably limited in what all we can talk about here, but we have the retrial set for May, you say, Dan. Does the timing here of this trial, the retrial, affect other cases that were in line to be tried? I think there was another one that had been set for the spring. I just don't know if that ends up getting pushed out because of this retrial. Do they have to be, you know, tried in a certain order? And then, you know, secondarily, can you comment on whether any additional cases have been added for you beyond what was disclosed last quarter?
Dan Carestio: Yeah. Sure. So you have it exactly right. The judge elected, off a mistrial, to push out what was originally scheduled as the second case group to be pushed later into this summer sometime. I'm not sure of the exact tentative date, but, and pull the first case to the retrial, which is the May case. So, and no, we do not have any additional cases at this point.
Jason Bednar: Alright. Thanks so much.
Operator: The next question will come from Patrick Wood with Morgan Stanley. Please go ahead.
Patrick Wood: Hey, guys. Thank you so much. And apologies for the crackly voice on my end. I guess, two from me. One would be, obviously, under a slightly different political environment, do you think there's any opportunity for the intensity of the legislative change around EO to loosen up a little bit or any change in how that might be? How do you feel about the new administration and how that might change EO's use?
Dan Carestio: Well, I mean, the rule's already out there, both in the ID and in the final rule. And, you know, we've been working hard to make sure that we can comply with that within the deadline, and I think we're incredibly well-positioned to do that. Clearly, there's a shakeup going on at the EPA, but it's unlikely they're going to retract a rule that's already in place at this point, in my view.
Patrick Wood: Yeah, I figured as much. And then the second one, a bit random on the endoscopy side of the business. Just curious where you're seeing, you know, both in the demand for your scopes on the volume side, but then also on the reprocessing side, how things are going there. Thanks.
Dan Carestio: Yeah. In a general sense, I mean, we've continued to do really well, especially on the reprocessing side. We've placed a lot of capital, and we have a lot of chemistry flow into that capital. That's sort of the pull-through that we've got over the last, I don't know, good year now of high capital shipments relative to Medivators products, the AERs. In terms of the endoscopy products, we're doing fine. We could be doing better, frankly. I think we're growing about at market in that space.
Patrick Wood: If one final one then. If you had to guess how much of your, like, say, consumables business was accounted for on the reprocessing side of endoscopy just as a proportion. Do you have a rough idea of where that sits?
Mike Tokich: Well, I don't know, Patrick. Yeah. No. The only data point we give is that endoscopy in total is about a billion-dollar business for STERIS. That's including our capital, though. It includes everything.
Patrick Wood: Totally. Totally got it. Awesome. Thank you so much.
Operator: Again, if you would like to ask a question, please press star then one. Our next question will come from Mike Matson with Needham and Company. Please go ahead.
Mike Matson: Yeah. Thanks for taking my questions. Just want to ask one, you know, in terms of your conversations with your customers and, you know, both the hospitals and the life science area. You know, are you hearing any concerns about potential policy changes with the new administration, or is it more of a hold until they kind of wait and see what happens with potential changes there?
Dan Carestio: Yeah. No. We haven't seen it. In fact, we had a really good orders quarter both in healthcare and in life science capital. After an abysmal year in terms of orders in life sciences, we, you know, are cautiously optimistic that pharma is doing what they typically do in their normal cyclical buying patterns and getting back towards investment. You know, in terms of our large healthcare system customers, we haven't seen any change in their direction. I know there's a lot of uncertainty about how they're gonna get paid and, you know, all those different things from a patient and from a government perspective, but we haven't seen it impact us at all at this point. You gotta keep in mind, we talk about this frequently. Our product, the majority of our products, especially the equipment side, is really a utility. And it's really procedure-driven. It's not a reimbursed product, you know, from a government perspective.
Mike Tokich: And, Mike, just to give you a few numbers around that, in fact, we are up about 14% for the growth in healthcare year over year, which is very strong for us. And you look at our backlog, right, our backlog is roughly almost $80-$85 million higher than what we anticipated in that $350 million range. So there's no concern there from our part on the orders structure from the healthcare customers.
Mike Matson: Okay. Got it. And then just wanted to get an update on inventory surgery centers. I think you've talked about that being sort of a growth driver in the past. Is that still the case? And do you have any, you know, products or anything you've launched to kind of target that call point?
Dan Carestio: Yeah. No. We still see it that way. There's clearly migration going on, you know, at a large acute care into, you know, satellite, you know, smaller facilities. And that's a trend that's been going on for quite some time. We do have a portfolio that is specifically geared for that on the equipment side, both in our surgical products as well as our SPD, sterile processing equipment. And we do have a dedicated channel in that space as well. So we're putting resources and people and R&D investment into it, and I'm confident that we're gonna be well-positioned in that space.
Mike Matson: Okay. Got it. Thank you.
Operator: The next question is a follow-up from Michael Polark with Wolfe Research. Please go ahead.
Michael Polark: Appreciate it. Two more if I may. On healthcare services, I have a sense of how you're gonna answer this, but can you just unpack? I mean, the growth drivers there, really good performance, teens. Again, I believe it's all organic, has been so for a while. Is this sustainable? What's a good base case here on growth profile as we roll into next year?
Dan Carestio: It's complicated, is what I would say. But in a good way, I think, you know, look, a lot of that is a significant portion of our services businesses aren't traditional equipment services. Right? And we've placed a lot of equipment over the last couple of years. And as the equipment comes off warranty, we have a very high contract rate in terms of making sure that we get those folks onto our contracts. And where they don't get on our contracts, we have a great partnership program with the biomeds and the healthcare facilities to ensure that they're buying our parts and using us for consultation on service repair. You know, in terms of our general repair business for scopes and things like that, you know, that's been a really strong piece of business for us. You know, maybe it even gets stronger if people delay capital purchases on scopes and need more repair. Not sure, hard to say. But generally speaking, we don't see those trends reverting. The only thing I would say is that as inflation continues to come down, our ability to get the level of price to cover our cost that we've seen over the last year and a half or so in the services business will probably come down a bit as well.
Michael Polark: Helpful. Life sciences, maybe tying in the bioprocess take from AST. I know they're typically different kinds of customer cohorts, but how do you assess the prospects for life sciences to return to organic growth over the next year or so? What are you seeing from those customers?
Dan Carestio: Well, what I would say is life sciences as a whole this year, it's not that impressive, but it's because of the capital slowdown that we've seen there. The engine of that business is really our consumables business, and we're seeing significant growth in that space. And actually, a few quarters ahead of what we've seen in the bioprocessing customers of AST, where there's a lot more destocking going on. So we're optimistic about the growth trends that we're seeing there and our position in the aseptic manufacturing environment of pharma.
Michael Polark: Thanks for taking the call.
Dan Carestio: Yep. Sure thing.
Operator: The next question will come from Dave Turkaly with Citizens. Please go ahead.
Dave Turkaly: Hey. Good morning, Simon. Jumping around a little. I know you want to give guidance, so this may not fly, but I'll give it a shot. So, Mike, you mentioned, you know, 14% order growth. You mentioned the backlog. You know, the level. And just looking at the trends and obviously realizing that healthcare has gotten a lot bigger, but in the overall business, it seems like there's a shift kind of towards that, you know, even towards the mid to higher single digit. I'm just thinking out loud here that that seems like something we've seen for a while now, and maybe that's a new normal. I don't know if you have any comment on that.
Mike Tokich: No. We're very happy, Dave, where we are, and we have been with healthcare. Obviously, it's a nice try on trying to get us to talk about 26, but we will wait to talk about 26 until May. But again, we're very pleased where we're at. The only thing we're a little displeased with is just the timing of the shipments. Right? Because we're taking the orders. It's taking us a little bit longer, as Dan talked about, to get those orders out the door. But at the end of the day, as long as it is in backlog, our cancellation rate is nil and has been nil. So we are confident that those orders get out, and we'll talk more about the timing of when those shipments happen next quarter.
Dave Turkaly: Great. Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Ms. Julie Winter for any closing remarks. Please go ahead.
Julie Winter: Thanks, everybody, for taking the time to join us. We will be on the road a bit in both virtual and in-person conferences over the next few months, and look forward to catching up with everyone.